Alan Jackson: Good morning, everyone, and welcome to Playtech's Financial Results Presentation for the year ended the 31st of December 2019. Our focus has been to fundamentally transform and refocus the group around regulated markets and high margin opportunities. Our Core B2B and B2C operations have made good operational progress in 2019, and management is taking decisive action in parts of the group that are underperforming. Our focus in recent years has been to improve the efficiency of our balance sheet to enable significant shareholder distributions. In 2019, we returned over 100 million to shareholders, bringing the total return over the last 10 years to over €1 billion. The search for my successor is nearing completion and will be announced in due course. With the continued evolution of the board and a clear and proven strategy, I'm confident that Playtech will make further significant progress over the years to come.
Moran Weizer: Thank you, Alan. Good morning, everyone, and thank you for coming, not obvious today. I'm pleased to present these 2019 results for Playtech. The results build on the momentum in the core parts of the business and the progress we have made executing our strategy. Our core business again demonstrated its high-quality with adjusted EBITDA of €383 million, driven by Core B2B and Snaitech results. Our Core B2B Gambling had revenue growth of 15% in regulated markets, while Snaitech had an outstanding 2019 with 24% growth in underlying adjusted EBITDA. We made significant operational progress in 2019 against all pillars of our Core B2B strategy, signing a new structured agreement, winning new Tier 1 customers, deployed a significant number of brands using our new SaaS platform, expanded existing relationships as well as continue to extend our technology leadership with continued innovation. In addition, we continue to make very significant progress in Italy, where, for the first time, SNAI was announced as the largest and leading online gaming operator, outperforming others and winning market share. I will update on the performance in Asia, that has remained broadly stable throughout H2 2019. We have taken action to improve the focus of the business, launching a strategic review of underperforming assets within the group with the Casual's business, now a discontinued operation and TradeTech and B2C Sports under review. Our focus is to simplify the Playtech story and concentrate on unlocking the value in the Core B2B and B2C legs of the business. I will now hand over to Andy to present the financial results.
Andrew Smith: Thank you, Moran, and good morning, everyone. Starting with Slide 7 and the financial highlights. 2019 saw Core B2B Gambling and Snaitech driving Playtech's performance. Core B2B Gambling saw a revenue growth of 15%, with UK growth of 15% at constant currency. Albeit benefiting from hardware sales and one-offs, and regulated growth outside of the UK of 16% at constant currency. Strong revenue growth and cost control drove 10% growth in Core B2B Gambling adjusted EBITDA and delivered a Core B2B Gambling margin of 29%. Snaitech was a group standout performer with adjusted EBITDA growth of 24% when excluding the impact of tax headwinds and the 2018 World Cup and after adjusting for IFRS 16. Snaitech also agreed the sale of land with €55 million in the year. We continue to strengthen our balance sheet with diversified long-term finance in place following our second public bond raise in the first half of 2019. And we also extend our increase, extended and increased our revolving credit facility to €317 million, with a new Tier 1 lending bank joining the syndicate. Finally, we continue to focus on shareholder distributions with the completion of 2 share buyback programs in 2019 totaling €65 million. And we've today announced the launch of a new €40 million buyback in addition to a €0.12 dividend per share. We have now returned over 1 million shareholders in the last 10 years. Turning to Slide 8. Group revenue was up 23% with adjusted EBITDA up 11%, reflecting the full year inclusion of SNAI compared to only 7 months included in the 2018 results. Adjusted EBITDA also benefited from the impact of IFRS 16. Net profit fell by 50% compared to growth in EBITDA. This was driven by high depreciation and amortization following the Snaitech acquisition, an increase in finance costs from the 2 bonds and a tough comparative in 2018 due to the gains on the sales of our equity holdings in GVC and Plus500. If we exclude the impact of these equity sales, net profit fell by 35%. Turning now to look at Slide 9, we can see the relative contributions of the divisions in Playtech, to put the business into context. As we've discussed previously, the different divisions within Playtech have different business models and different margin profiles. Driven by SNAI, B2C is the largest contributor at revenue level with the higher-margin B2B Gambling business being the largest contributor at EBITDA level. We will now look at each division in detail. Turning now to Slide 10. Over the next few slides, we will explore the performance of the B2B Gambling business. In the UK, the B2B Gambling business grew 15% at constant currency and 17% when adjusted for the increase in RGD. As previously mentioned, the UK performance was boosted significantly by hardware sales in the UK Regulated B2B markets outside of the UK grew double digit, driven by markets such as Mexico, Greece and Spain. It is worth noting that in line with our strategy, our regulated revenue outside of the UK is now approximately at the same size as the UK business when excluding the hardware sales in the UK Regulated revenues outside the UK will be even larger if we included Germany, which whilst unregulated is taxed. For the first time in many years, unregulated ex Asia revenue saw a positive momentum, growing 4%. Looking now at the breakdown of B2B Gambling costs on Slide 11. As a reminder, from the start of 2019, the application of IFRS 16 became mandatory and effectively capitalizes certain lease obligations rather than accounting for them as operating costs. The impact of IFRS 16 resulted in an increase in 2019 adjusted EBITDA of €23 million. The impacts on net profit is been minimal, with the increase in EBITDA being offset by higher depreciation and interest costs. Under the rules of IFRS 16, we were not required to restate 2018 numbers, but have done so here to ensure a like-for-like comparison. In the appendix, we have also included costs both including and excluding IFRS 16 so that you can analyze in whatever way you prefer. The reported B2B cost is presented in the second and third columns, are misleading as they're inflated by €29 million being the costs associated with the hardware sales. It is, therefore, more appropriate to look at the cost base, excluding these one-off costs, which we have done in the final 2 columns. Looking at the penultimate column, B2B Gambling costs increased by 5% in the year, with cost savings across the business reinvested into the high-growth areas, such as Live and Sports. G&A was slightly down in the period with sales and marketing flat. Looking at the first highlights box in the table on Slide 12, we can see that the total B2B Gambling margin has remained healthy at 39% despite the lower contribution from higher-margin in Asia. Looking at the second highlights of box, Core B2B margin was 29% and 27% after excluding the hardware sales. It is worth noting that further investments in our core areas, specifically in Sports and Live, together with the ramp-up in the U.S. market will impact the margin in 2020. However, despite this planned increase in investments, we maintain our Core B2B Gambling margin, medium-term targets set back in August at 35%. Turning to Slide 13. The B2C segments is comprised of Snaitech; white label, which includes Sun Bingo; and finally, retail B2C Sport. We will look at Snaitech in detail in the coming slides. Staying on this slide for a moment. Looking first at the white label line, the Sun Bingo contract represents the majority of both revenue and EBITDA. As a reminder, following the amendments to the Sun Bingo contract agreed in February '19, which included an extension to the duration of the contract for a period of up to 15 years, the Sun Bingo contract is no longer loss-making from a P&L perspective. The remainder of the white label line comprises a number of other brands, which we significantly reduce as part of our housekeeping exercise, where certain brands have been consolidated or ceased operating. Retail Sport saw a adjusted EBITDA fall from a loss of €6.1 million in 2018 to a loss of €11.9 million in 2019. The business remains at an early stage and so despite this loss, we believe that the assets in Germany and Austria remain highly attractive. We continue to monitor its performance, as you would expect. As announced in August, we initiated a strategic review of noncore assets. As part of this, the Casual Gaming business has been reclassified as a discontinued operation in accordance with IFRS and is no longer a component of the B2C segment. Turning now to Slide 14, we will look at the performance of SNAI. Looking at the middle column, total SNAI revenue decreased by 7% to 830 million due to tax headwinds in Italy and a total comparative, which included the 2018 World Cup. However, adjusted EBITDA was up by 2% due to the mitigating actions taken by the business as well as significant growth in online. Looking at the far right column, we can analyze performance with the tax headwind stripped out. In line with Snaitech's strategy, the year saw 27% growth in online revenues, driving social revenue, up 4%. As mentioned previously, looking at the bottom row, as a franchise business, it is more appropriate to look at SNAI's margin on an underlying basis by stripping out the pass-through revenue. This leads to a tax adjusted margin of almost 50%, which better reflects the quality of the SNAI business. Turning to Slide 15. As we can see, after factoring in the taxation headwinds and the impact of the 2018 World Cup, Snaitech's underlying adjusted EBITDA for 2018 would have been 132 million, which is the starting point when looking at growth in 2019. As can be seen by the bar on the right, on an underlying basis, Snaitech enjoyed adjusted EBITDA growth of 24% to reach 162 million, demonstrating clearly the strength of the underlying business. It is worth noting if the tax headwinds are added back to the 2019 result, SNAI has already met our medium-term targets of 180 million of EBITDA, which was announced at the Investor Day in 2018. Finally, as a reminder, in 2019, SNAI agreed to sell the former [indiscernible] area for 55 million with further potential land sales being evaluated. Turning to Slide 16. TradeTech had a challenging 2019 with revenue dropping 31% and adjusted EBITDA falling to 76%. The business was impacted by record low volatility across asset classes in Q1, together with difficult market conditions in September and October. As a result of the underperformance, continued consideration relating to TradeTech Alpha was estimated at 75 million at the end of H1, has been revised to nil. Mor will discuss TradeTech's 2019 performance in more detail, including our plans for the business going forward. Turning now to Slide 17. As discussed earlier, further progress was made in the year on the continued strengthening of the Playtech balance sheet. As at the period end, Playtech had adjusted net cash of 333 million. The refinancing of the 297 million convertible bond which matured in November was completed in March, as we raised a 350 million bond with the excess used for general corporate purposes. Along with the 530 million bond we raised at the end of 2018, Playtech now has both 5-year and 7-year bonds, which mature 2.5 years apart. Our revolving credit facility was extended to increase from 297 million to 317 million with a new Tier 1 lender joining the syndicates. In line with our progressive distribution policy announced last February, we completed 65 million of share buybacks in 2019 and have announced a further 40 million buyback today. We've also declared a final dividend of €0.12 per share. Finally, on Slide 18, we will look at the outlook for 2020. Playtech started the year strongly against material headwinds. However, in recent weeks, we have started to see a material impact from changes in normal customer patterns due to COVID-19, which is significantly affecting 2 of our largest markets. Accordingly, results for 2020 are likely to be below existing markets expectations. Looking at the headwinds, Playtech is facing significant headwinds of over €100 million in revenue and over €70 million in EBITDA in 2020, including the credit card ban, FOBTs staking limits increased RGD in the UK, increased taxes and ID card rules in Italy, the hardware sales in 2019 and the lower run rate in Asia. On an underlying basis, however, Playtech is expected to see a good performance in 2020. Core B2B Gambling is expected to perform strongly, driven by Casino, as well as increased investments in Live. And another year of strong performance expected from SNAI with continued growth in adjusted EBITDA despite regulatory headwinds of over €15 million. As I mentioned, Snaitech has started the year well so far, but is now seeing a negative impact from the coronavirus, which may impact the performance for the year. The impact of ID cards, trade verification is been broadly in line with expectations to date. Looking at the noncore parts of the business, Asia has remained broadly stable in the last 6 months of 2019. January saw an increase in revenues, driven by the Chinese New Year, but February has seen a negative impact to date from COVID-19 with revenue for the month, expected to be around €7 million. TradeTech has seen a strong start to 2020. However, the business remains highly volatile and a strategic review is ongoing. Retail B2C Sport is showing signs of improvement from a low base and should, but, and all strategic options are being explored. And with that, I'll hand it back to Mor.
Moran Weizer: Thank you, Andy. Now we will look in more depth at the strategic and operational highlights of 2019. We continue to focus our strategy and investment in the core part of our business with a strong focus on our Core B2B with our leading technology, scale and position are delivering strategic progress. Snaitech continues to outperform in Italy and achieved the number 1 position in online in H2 2019. Our Asian business complements the core gambling units and remains highly cash generative. I will also update you on progress at TradeTech and our plans for this asset going forward. Following a review of our business initiated in 2017, we embarked on a transformational process within Playtech. The gambling industry continues to change dramatically with new markets opening across the globe and the demands of varied and detailed regulation impacting all markets and operators. As a result, to remain ahead of the curve, Playtech transformed its infrastructure, processes and technology in order to provide an agile solution to licenses across the globe, not only answering the challenges they currently have but importantly, answering the challenges they don't even know they have yet. Examples of the changes we've made include the introduction of a new COO and CTO office that, obviously, operations and technology. We have also appointed new heads of all verticals. We also established the largest analytics team across the industry. Our enhanced holistic approach allowed us to rearchitect and revamp our entire offering from the ground up, employing cutting-edge technologies and technical frameworks. The mission was to transform our offering, giving us and our partners the ability to develop our products and games faster, integrate faster and seamlessly and adapt to changing regulations faster than others. We rearchitect our infrastructure and automated a significant number of processes, streamlining and optimizing how we launch and manage new and existing customers. We developed our own centralized multi-region regulated private cloud, which is a totally different solution to a hosting farm or a set of servers that most use. Once ready, we certified it in all relevant regulated markets. We introduced data, AI and machine learning tools to our systems to support enhanced engagement with our customers and then revamped our front-end solution using one of the most advanced frameworks available called React by Facebook. After 3 years of investment, we can, for the first time, extend beyond Tier 1 and large operators. In the beginning of the year, we announced the new Playtech SaaS platform was operational, capitalizing on 3 years of investment after putting all the pieces together. As I wanted to test the scalability and stability, my goal was to launch a customer a month in the first 6 months, moving to 2 a month in following 6 months. In truth, I was very surprised myself when I was told we have more than 50 already, and we changed our goal, which is now 50 more in 2020. To be clear, we extended our strategy because we now have the technical capability to do so and this has delivered a new revenue stream on top of our already proven model. The next step of our journey is the equivalent of App store for the gambling industry, Playtech Marketplace. Playtech Marketplace is a new deployment system that allows operators to choose the most relevant games for their local audience using data analytics and then deploy them for marketplace to their portals through the click of a button. It also provides data analytic tools, allowing the operators to benchmark the performance of their games against their peer group and Marketplace is a technology solution that utilizes Playtech's scale advantage to answer the long-standing issue that most operators and content providers struggled with as they had to individually integrate content and content providers and almost guess which games they believe fit their audience. So far, we integrated with more than 60 content providers and Marketplace currently provides access to more than 4,000 games. In sum, this allows us to develop and deploy at a fraction of the cost and time. What used to take us 3 to 6 months minimum and cost €300,000, at least, we do now in 3 to 6 weeks and approximately 10% of the cost. The achievements of the last 3 years are too long to discuss now but we intend to cover all in-depth during an Investor Day we will hold in the first half of this year. Since 2015, I have overseen the strategic decision to place safer gambling, a new consumer protection tools at the epicenter of our technology road map. Our global scale and position in the industry means we can help to foster collaboration by partnering with our licensees, regulators, charities and academics and all stakeholders. In the U.K., Playtech has been working alongside licensees to deliver the safer gambling commitments and end measures. The comprehensive set of measures marks a new era of collaboration for the industry, which we support. In 2019, we launched Playtech Protect, a single solution that combines Playtech's consumer protection, compliance, risk management and regulatory platform capabilities and software, all powered by the IMS platform. Playtech Protect delivers a one-stop shop for licensees across the globe that wish to enter any regulated market with a trusted, fully compliant and consumer protection focused offering. Everything that Playtech does is data-led and our approach to safer gambling is no different. Through Betbuddy, our machine learning and AI business, Playtech is helping to lead on the U.K. GC's safer game design work stream and is currently trialing a new game labeling project with global Tier 1 licenses. No technology company can match this safer gambling engagement and consumer protections tools in the Playtech platform. In 2020, we will launch our Sustainable Success, 5-year safer gambling and sustainability strategy. This strategy will support our long-term ambition to be the most trusted and innovative global leader in safer gambling products, data analytics and player engagement solutions. I'm delighted to announce today, that as part of our Sustainable Success strategy, Playtech will be investing £5 million in 5 key areas with charity and social enterprise partners that provide research programs and support to promote healthy online living. Building on work we have done in 2018 and 2019, we will contribute expertise, research and financial support in 5 areas, including preventative education and research into digital solutions and tools. We recognize that as the technology leader in the industry, we have a duty to extend our expertise, experience and technology to help build a sustainable, safe and entertainment-first industry for the benefit of all stakeholders. We have continued to see momentum in our core business in 2019, and our scale has continued to grow. The KPIs on this slide are commonly used by operators and software providers alike and are what we use to evaluate the real quality of our business. These very strong KPIs clearly demonstrate the competitive strength of the business and the momentum generated in 2019. In 2019, we have signed a new structured agreement with Wplay in Colombia as well as signing additional Tier 1 operators in regulated markets, such as Swiss Casinos in Switzerland and Solverde in Portugal. Snaitech delivered an outstanding performance in 2019, including reaching number 1 in market share in online in H2. We are continuing to extend technology leadership with further new innovative product launches. We launched a new SaaS model, which has already displayed formidable momentum with over 50 new brands added in 2019 alone. And finally, we continue to show leadership in safer gambling initiatives, as I discussed a few minutes ago. You'll remember this slide from our interim results in August. And I updated you a few minutes ago on the enhancements we have made to our offering in recent years, which have consequently extended our total addressable market. At the top of the pyramid, in addition to the outperformance of Snaitech, we've turned the corner with Sun Bingo with a record month in December. Following the extension of our agreement with News UK Caliente continues to excel in Mexico, and we have leveraged our established leadership in Latin America with the addition of the structured agreement with Wplay in Colombia. Caliente has become a top 5 customer for Playtech in just a few years, and Wplay has the same potential in the coming years, given the similar dynamics of the Colombian market to Mexico. We have also extended and expanded relationships with existing Tier 1 and large customers such as GVC, and we have signed new deals in regulated markets, such as Switzerland, Portugal and Poland, to name a few. Finally, we have already signed over 50 new brands for our new SaaS offering and are accelerating our plans for this offering going forward, creating a material new revenue stream for the group. Looking now at the U.S. Currently, there are 2 categories of companies accessing the U.S. opportunity and people at times mix the 2 when referring to Playtech. Firstly, the offshore operators, such as UK bookmakers have no choice, but to partner with a local partner in order to access the market. This is not the case for software providers such as Playtech, which will target multistate deals with multiple licenses. Our B2B model allows us to work with the leading and best operators, who are winning the market share betterly. However, unlike other software suppliers, Playtech enjoys unrivaled scale and flexibility in its approach to new markets. Playtech can offer more than the current software providers that have entered their market, including the cost, retail and online and multiple product verticals. Playtech can equip operators in the U.S. with more than just best-of-breed software, providing marketing and operational expertise. If the scale now builds in the U.S. following the repeal of PASPA and taking a medium to long-term view, it is the right time for Playtech to penetrate the market. In addition to our new office, we intend to increase our investment in 2020 on U.S.-specific product offerings and have commenced development on a new Live Casino facility in New Jersey. We believe that we have successfully completed all the necessary regulatory steps and look forward to receiving a transactional waiver in New Jersey, once our first customer completes the final review with the regulator. In addition, we also started the licensing process in further states. Once we receive the transactional waiver, we will be operational and launch with our first customer. We have a strong pipeline of interest for our products, including IMS, Casino, Live Casino and our entire Sports offering, in particular, our market-leading SSBTs. We expect to build significant strategic momentum in our U.S. business in 2020 and beyond. Turning to the next slide. I'm proud to report that the Snaitech business continues to outperform ahead of our expectations. Snaitech delivered 31% growth in online stakes, which helped drive 24% growth in underlying EBITDA on a like-for-like basis when stripping out the impact of the new tax regime and the World Cup in 2018. The strong online performance drove Snaitech to number 1 market share in Italy in H2 across total online betting and gaming. The combination of Playtech's technology and scale advantages alongside the quality of the SNAI business and management team within the context of the market dynamics in Italy, including the immaturity of the online market, lead us to conclude this business will represent a significant growth driver for Playtech, alongside our Core B2B Gambling offering. As Andy mentioned earlier, the impact so far from the introduction of social security cards for age verification for VLTs, on January 1, has been in line with our expectations, yet less than the impact on some of our peers in Italy. However, the coronavirus impact is being closely monitored. 2019 was the first full year that Snaitech has been part of the Playtech group. When we acquired SNAI, it was the number 4 online player in Italy. And as mentioned, it reached number 1 position in H2 2019, demonstrating the strength of SNAI's performance under our ownership. In addition, online stakes at Snaitech have increased 67% compared to 2017. Also, we have unlocked the value through the sale of a portion of the SNAI's land assets in Milan, with a €55 million sale that was announced in 2019, which will be completed in 2020. The regulatory environment in the UK continues to develop almost on a daily basis, and there is increased pressure to review online stakes. Although the outcome remains uncertain, Playtech has the flexibility in its business model and cost base to adapt to any outcome. In particular, there have been certain estimates in the market that grossly exaggerate the potential impact to Playtech. As such, at this point, it is best to give you a few facts about our business in the UK. Our total UK B2B Casino business comprising slots, table games and live casino contributes approximately €70 million annually in revenue to Playtech. Nearly 70% of this is slots revenue, with the majority of that at a manageable level. In our UK B2C business, we generate a further €35 million in revenue from Casino. Given the fact that this business is driven by Bingo customers, virtually all the revenue is from slots and lower stake level. Regardless of the outcome of the review of online stakes in the U.K., Playtech has the ability to adjust its business model to mitigate the impact on its business. Turning to Slide 31. Asia remains important to the group, given its cash flow and profitability. In 2019, I personally spent a lot of time in the region, ensuring, overseeing the strategy and operations of our business. Given the time I have spent with our team, partners, distributors and customers, I remain confident of our position in the market as a premium provider. However, the market remains highly competitive and price sensitive. In H2 2019, we introduced a new commercial model that provides more competitive pricing, incentivizing operators to attract traffic to Playtech. The initial feedbacks from the new model are positive and contributed to our performance in Asia remaining broadly stable through H2 2019, with 2020 starting well and the softer February due to the impact of corona virus. It is too early to determine the full effect of the outbreak. I think it is important to remind everyone that our business in China is entirely online, does not involve credit and is not driven by VIPs. Should the corona virus crisis continue longer term, it will potentially have a negative impact on our business in China, as the economy weakens, customer behavior becomes more cautious and banking solutions are less accessible. TradeTech had a challenging 2019 with volatility at record low levels in Q1. Difficult trading conditions in September and October impacted market making activities, a cost risk as execution, B2C and the turnkey offering. TradeTech was also negatively impacted in 2019 by the introduction of ESMA's product intervention regulations, which saw the first full year impact in 2019. As indicated at the interims, TradeTech launched a new strategy for its B2C markets.com business in June, and the initial signs are very positive. Since the launch of the new strategy, KPIs have been strong, including higher first deposits and higher customer lifetime value. This resulted in improved revenues and EBITDA for the business in H2 following the launch of the new strategy. The CFH business within TradeTech had a strong 2019 and continues to grow with increasing customers, volumes and revenues and entered 2020 with a strong pipeline. Following the challenging market movements in September and October, we have taken action to restructure TradeTech by changing its approach to market risk in order to deliver a more sustainable and predictable revenue stream going forward. The nature of this business means it will still have some exposure to market conditions and volatility, but cater for further diversification in our risk book, reducing the potential for a significant negative impact on our revenues in a specific period. Our focus for 2020 will be on continued growth and sustainability for our revenues together with delivering synergies by merging certain functions across the various TradeTech businesses. TradeTech will also be aiming to optimize the efficiency of its balance sheet in order to enable the list of cash currently tied up in the business. These measures are already showing traction, as TradeTech has had an encouraging start to 2020 with strong results in each area of the business. Slide 33 reflects the outcome of our internal review of underperforming assets as we intend to concentrate the group towards our core business. Our first action was to place the Casual and Social Gambling business up for sale, and it is now considered a discontinued operation. We would expect to dispose of this business during 2020. Secondly, TradeTech. As we announced in November, we are reviewing our options for this business. The process is ongoing and could include a further restructuring and sell off parts of all of this business. We expect to update you on the progress of this review over the course of 2020. The third business unit under review is Happybet, the retail B2C Sports Betting business in Germany and Austria. Unlike Casual Gaming and TradeTech, this is a gambling business and fits more naturally within Playtech. Due to this business underperformance in 2019, we are taking action to reduce losses and achieve profitability. We continue to believe this is a highly attractive asset in the German market, given the anticipated regulatory developments. Finally, we will outline the near-term deliverables that the management is focused on in 2020. Following the success of Caliente in Mexico and the recent deal with Wplay in Colombia, we expect to sign additional structured agreements in high-growth markets in 2020. Second, following the initial success of our SaaS offering in 2019, we are accelerating our plans and expect to sign at least further 50 brands in 2020. We expect the U.S. to become a very significant medium-term opportunity for our business and we are increasing our investment in this exciting market. We expect Snaitech to continue to leverage its leading brand and retail presence to gain further market share in Italy. We will continue to review, we'll continue the review of our noncore and underperforming business. The discontinued Casual Gaming business will be disposed off in 2020, and our review of TradeTech is in progress. And finally, I confirm that we will host an Investor Day at our offices in London. The event will be focused on our Core B2B business, and we will also provide further detail on our U.S. strategy. Thank you very much, and we will now take any questions you may have.
Q - Gavin Keller: Gavin Keller from Goodbody. Just firstly, on hardware sales. Obviously, you've pointed out to a large number of hardware sales in 2019. Can you just give us some color on what the usual level of hardware sales you would expect is? And just the hardware sales you've undertaken, what sort of contractual changes do they entail when you undertake those hardware sales going forward? That's maybe the first one. Then I can ask my next one in there.
Andrew Smith: Okay. In terms of the usual levels, it's difficult to say what usual level is because hardware sales tend to be very, very lumpy. Not just in Sports but also in IGS as well, the Casino business. I think anything between 5% and 10%, but it could be the side of that. I think what is fair to say is that the 2019 was unusually high by any standards. In terms of contractual terms, just to be clear, on 2019, there were many hardware sales, but also there were other one-offs in there, for example, sales of IP as well. So for example, the sale of IP, wouldn't come without any contractual changes. And it may even be also that the hardware sales can be no contractual changes either, other than potentially increasing the term of the agreement, which is obviously very good because it locks in the install base for revenues for many, many years to come. It's everyone's individual Gavin, it's impossible to give a generalization on it. And by the way, on that, you can also see that from the margin profiles as well. There will be some hardware sales. If it's a brand-new, if it's sale of brand-new hardware, it may almost be almost not far for pass through cost, which is very low margin. But actually, if it's older hardware, or for example, if it fits the, some of the IP sales, it could be close to 100% margin. So it does vary wildly.
Moran Weizer: I just want to reiterate that the hardware sales are part of the older import of a business like B2C, or which is our Retail Sports division. It cements the relationship with the customers. It extends the relationships with the customers. It makes them more difficult to move away from you because they just invested a lot of millions of times, tens of millions into the hardware, and overall, what we saw in 2019 is that the overall value of those relationships increased. And this is why when we have been approached by certain operators to have the conversations, we were very open to the conversation because it extends the relationship, and it has the financial benefit attached to it.
Gavin Keller: And, okay. Just on Happybet. Obviously, invested €6 million in '18, €12 million in 2019. You've pointed out that it's obviously, marketing investments on investment, it's in the investment phase. How can that business perform this year and beyond? And do you have the optimal state in Happybet at the moment, or does it need to increase further?
Andrew Smith: Well, I'll do the numbers. And then perhaps you can give the strategy. In terms of the numbers, I would certainly hope that the loss improves. I wouldn't want to be pin down too closely to forecast as I sit here today, I see no reason why it can't be around breakeven. But I wouldn't want to overcommit. Given the start of nature of the business and the market it sits in.
Moran Weizer: Yes. On Germany and Austria, I think that people need to understand, it's a limited investment compared to the U.S. albeit, the German market is by far bigger than the U.S. opportunity currently, and I understand that the U.S. will grow, but we also need to acknowledge the fact that Germany is not yet regulated. Two things on that. First, that it used to be one of top, one of the 3 most important and top markets for this industry online in previous years. Obviously, in preparation and ahead of the coming regulation, the, what happened is that a lot of people pulled out and invested elsewhere because they were challenged, because of the IT issues. But at the end of the day, the market is still, still remains a very, very important market. Our investment in 2017 and 2018 and 2019, is such that it's very hard to replicate what we did so far. I don't believe that we will invest into that at the same pace. Obviously, now we are focused on reducing the losses, making this base business profitable, ahead of the coming regulations. And remember, VIPs, according to the proposed regulations, VIPs will have to be onboarded and registered in retail. Think about certain online gaming operators that currently don't have access to retail, what it means for them. Typical is a very profitable business. Few other companies are very profitable business. It's a franchisee-based model. It's a model we are familiar with, and it's a very, very attractive model. And this is why we decided to invest into Germany and Austria, we built one of the largest Lidl chains that only just launched its online offering, and we believe that over time, there is a real opportunity in Germany. And definitely, when the market will be regulated, I think that it will be one of the most available, accessible assets within this very important market across Europe.
Ted Nyhan: Ted Nyhan, JP Morgan. In terms of TradeTech, have you had any external interest in the business? And if you were to pursue a sale, what kind of pools of buyers do you see being available for us? And secondly, on the Italian healthcare -- health cards law. Just if you could speak a little bit more about the duration of the impacts and how you think that's going to play out? The health card law, where they have to have a health card to pay the VLTs in Italy. And finally, any comment on the term for Playtech in the U.S. in terms of what size that could potentially be, and what verticals are open to you?
Moran Weizer: Yes. So on TradeTech, I'll answer on the TradeTech, and he can brief you on the numbers of the VLTs in Italy. And obviously, then I'll talk about the U.S. So, on TradeTech, it's a very attractive asset. It grew -- it significantly grew and so has accelerated growth in 2017 and 2018. Obviously, people can go back to the numbers and see that. And obviously, it was hit by -- it was a challenging year. I will be first to admit with a very slow first quarter and challenging trading conditions in September and October. We -- I think that not only it's an attractive asset, we have been and continue to be in discussions with a number of interested parties. And I believe that they will find it very appealing and attractive for them, given I know their background and given the fact that there hope would basically -- the natural cost business is to invest in similar businesses like that in this sector, so I would say it's an attractive business. We don't feel under pressure. We feel that if we are -- if we will be pushed now and if we will be under pressure to sell it now at this specific point in time, we will actually leave behind a lot of value. Our approach was always -- we are very commercially driven. We want to maximize the return. I don't think that there is a real difference if we sell it tomorrow morning or by the end of the year or beginning of next. I think that it will remain as attractive. As a matter of fact, I believe that it will be even more so attractive, given the fact that we restructured the business, we took actions when we saw the trading conditions, we analyzed it. We learned it, we educated ourselves how we can basically change that, and we started restructuring this business. The end result of this restructuring, actually, not the end result of the restructuring that is still ongoing, as I mentioned earlier, we are still merging certain functions within the different businesses, creating synergies, reducing the cost, but I will say, however, that the end result of these efforts already bare fruit as TradeTech performed strongly since the beginning of the year.
Andrew Smith: On the ID cards, we always expected an initial drop off in the numbers. Because effectively, we believe it was going to, let's say, spook customers that didn't realize it was just purely for age verification, and it actually could have ramifications. As we've educated our customers, and actually, the education process is, to be honest, has been probably faster than we expected. So, I think at the moment, numbers in gaming machines are around, say, 10% to 15% down. And I think for the year, we would imagine it staying around that level, perhaps slightly better. However, just and lets go to the point we're making about Italy earlier. In the north of Italy and specifically in Lombardi, the numbers that we're seeing at the moment are significantly worse than that. And that's happened very, very recently. So effectively, you had an initial drop off, things getting significantly better. And then specifically in that region, things getting significantly worse, which actually led to the guidance we gave today.
Moran Weizer: Mitigated partly by online, but not yet fully. There is an impact, it's significant. It's too early to say how much, and this is partly why we took there very conservative and responsible approach this morning. Let's put it this way. If we would have had this, if you would have this event in Milan and would have invited you to Milan this morning to present our numbers, let's be honest with ourselves, I'm not sure how many of you would have come. So at the end of the day, we should acknowledge the fact there is an impact. We are monitoring it closely. I can tell you one thing. Once coronavirus recedes, this business will recover quickly because it is the best asset you will find today in Italy.
Andrew Smith: U.S.
Moran Weizer: U.S.
Andrew Smith: Total addressable market. I mean, I'll just give my thoughts first, and Mor, I'm sure will add to it. I mean, the thing you've got to remember that what Playtech always has is flexibility. So we can provide both Retail Sport. This is obviously, as the market expands, we can do Retail Sport, Online Sport, Casino. We can do it on a B2B basis, but also we can do structured agreements as well. And so when you talk about the total addressable market, it's not simply a case of taking a market, mostly played by what you believe our market share would be, and then mostly played by what you believe our take rate would be. Because ultimately, if we do a structured agreement, then the economics look far close to a B2C provider. So I think total addressable market, in simple words, is very big. But in terms of quantifying it, I don't think I would like to be at this stage.
Moran Weizer: Yes. Obviously, currently, at this level, right, the market is estimated around the $2 billion in GGR. Some people ask me, okay, Playtech is now coming around. It admits that the U.S. is an opportunity. But just to put some, just to, I think that these are facts that we all have, that are all available to us. But at the end of the day, if you look at the market a year ago, there were only 4 markets, right, including Delaware and Nevada that are quite small in size that allowed online casino. This was before the repeal of PASPA. Obviously, the repeal of PASPA changed everything, and we started monitoring closer the market and started planning for our penetration effort. Just to put it into perspective, 4 markets currently allow online formats outside of Sports, only 4, right? One is Nevada, which is only poker, the 3 others are: New Jersey, Pennsylvania and Delaware, right? There are online sports, already 7. Online sports that has regulated, that have regulated, but not yet launched, another 8, bringing the total of online sports to 15. And if you include retail, there are 19 states now that regulated or in the process of regulating or regulated and not yet launched across the U.S. So you can see why sometime mid last year, everything changed or when PASPA was repealed, everything changed. We started monitoring that from a €500 million today, which was not the case last year and the year before that in New Jersey because it did show accelerated growth from a fiber, actually, the matter of it from a €300 million market that was a non-sports online, suddenly, there is a €1.8 billion market, actually reaching €2 billion market in the U.S., including Retail Sports, online sports and other formats of online gaming, including casino and poker. And I think that once there will be a domino effect from here, it will take time, guys. This is a medium, longer-term view, but you have to start somewhere. In the U.S., you can't simply go, say, I'm going into the market and overnight, I'm going to have a significant business. But you can say, and I'm very confident saying that once we get the transaction on waiver and we look forward to receiving it, we are still waiting for the first customer to finalize the review with the regulator. Once that happens, things will start falling into place. New Jersey to start with, a number of others states following that, and Playtech will establish its position using its cutting-edge technologies, and I believe, superior product to what exists today in the market. We have a lot of feedbacks from operators that tell us we are waiting to see Playtech involved with the U.S. market. There products today are inferior. They are not what we expect is, what we expect from the software providers. Remember that most of the products in the U.S. are not necessarily what you find as well. So you can't really say certain companies do well in certain markets, and so they should do well in the U.S., some simply use different offerings for the U.S. market, companies like GVC, William Hill and others use a different system in the U.S. than elsewhere in their business, where they are very successful. And don't get me wrong, I wish them luck. There whole deal to us is like one set of eyeball. These are the long-term partnership, partners of Playtech that I expect to be our partners in the U.S. as well. And I see a lot of opportunities for them and for us as well.
Ed Young: Ed Young from Morgan Stanley. My first question is probably a difficult one to answer, but I think it would be useful around coronavirus. I appreciate, given you said, it's such a recent impact trying to understand what the breadth of that impact is going to be is quite difficult. But if you just maybe talk through your thought process around how you thought about modeling it, so we can get an idea of what the upside, downside might look like? And there's kind of a part B to that is, from what I understand from what you said, it's sort of roughly split half-half between the 2 big markets you mentioned, it sounds like more you think that the bounce back in Italy is more assured, given the strength of the brand and market share there than in China. Is that a fair comment? So how do we think about the sort of second order effect once this does go away in the end?
Andrew Smith: Let me do the first bit and then Mor can comment. I mean, I think it's just a lot of thinking. We, frankly, Ed, it is very difficult, as you say, because we simply don't know how it's going to take hold. What we do know, and I'm very low to talk out run rates in Asia because I don't think it's appropriate. But if you look at just the pure numbers, from what the stability through H2 and what we've seen in February, there's about €50 million delta. So there's, I think the numbers people put into is about €30 million downgrades today. €50 million, you've got, already got half from Asia. Now in terms of the, what we've seen in Italy straight away, as you've seen, canceled football matches. We've already seen one of the football matches canceled, you're seeing significantly low numbers for machines in the north. Because remember 50% of our business is in the north of Italy. And that's the affected part at the moment. So we want to give a conservative number, whilst not knowing exactly what the impacts will be, we want to be conservative. So to be absolutely clear, if you've said to me 2 weeks ago, what would the guidance have been, I wouldn't have been changing consensus. I wouldn't have said. And this is all about the coronavirus. So that I want to make that very, very clear. Could the, if it clears up quickly and Italy bounces back quickly, Asia stabilizes potentially till it goes back to normalized levels. If consensus goes to say 340, 350 which is what it is looking like, could we see upgrades? Absolutely. There's no doubt about that because ultimately, we're baking in a reasonable sort of impact. Having said that, at this moment in time, would it be a responsible me to give 2 further view either way? Absolutely, it really would. Does that answer your question, Ed? I mean, you -- I mean, obviously, the Snaitech results speaks for themselves in terms of the brand position. And you said you'd expect that business to bounce back very quickly given that. Is that also the same in China, which you think given as a much more competitive situation there? Do you think there's more risk as a sort of second order effect from what you've lost?
Moran Weizer: Yes. So as for China, I think it is important to say. January was a strong month for us. It was a strong month, partly, probably because we continue to distinguish between the Chinese New Year that took place at the end of January. And the impact of corona virus, but it was a strong month for us, ahead of what we budgeted for. And we started the year strongly. Like I said, we confidently felt that it was the corona virus people in the beginning, playing online, or whether it was the promotions around Chinese New Year. What we see in recent weeks is a totally different situation. We see the numbers dropping. This is shared with us by our distributors, operators and other people that are active and involved with online gaming in China. I think that it's quite a natural thing, right? At the end of the day, when you look at Lombardi, and while the betting shops are not yet closed, it's only a matter of week-over-week, and people are still -- can go out, the betting shops are open, right? But when you have a situation, an ongoing situation that started at the end of December. And after a good month in January, people start thinking about their families. They don't have a job, they can't go out to work, they have 1 hour a day, 2 hours a tops to go in, to go out and buy groceries, banks are closed, banking solutions are limited, you start thinking, online gaming for me, even though I love it, right? Online gaming is a leisure activity. It's a luxury at this point. People feel for their families. And I think that if you add on top of that, I can't speculate what the reason is, but I mentioned it earlier, the Internet is down at times, whether it is the government taking certain steps, whether it is a capacity issue, we don't know, but we see that the Internet, we see some disruptions with the Internet across certain parts of China as well. So, I would say, the longer it takes, the more effect and impact it will have on consumer confidence, the longer, I believe it will take to win them. So people need some time to adjust, digest, adjust and then go back to normal. And with what happens now outside of China, it was only the responsible thing to do to try and model it, to model it, right? Like I said, we sit here in London. There is no issue. But in Italy, right, certain parts in Lombardi are not under lock down, but it definitely looks and feels like that. And people are hardly going out in the streets. And we definitely can't neglect the fact that the VLT performance which is partly -- I mean, the retail part of our business does see a significant impact.
Ed Young: My other question was on structured agreements. It's something that's clearly a big opportunity. You spoke about Caliente. Can you just maybe give us a bit of color to help us understand what the potential impact could be? So, I don't know whether you can talk about effective take rates you can get structured agreements versus the others, or just an idea of what do you put in the start? What does it really look like? And I appreciate that it all be a bit different. So we can have an idea of what the opportunity set looks like at the end.
Moran Weizer: Yes. Definitely, I think that given the success, if you think about it, every, every B2C business that we were involved with, starting with William Hill in 2009. We entered into an agreement in October 2008, and then we launched it together with them under William Hill online in the beginning of 2009. 4 years later, this business was towards €200 million EBITDA in online only, which is bigger than the operating profit of William Hill, altogether today. We have done a very good job. We took a business that was lagging behind, turn it around and basically accelerated its growth. We then went on and did the same for Ladbrokes. We then went on and started, had a relationship, started a relationship with Sun Bingo. Obviously, Sun Bingo had some challenges in the beginning, but it's turning a corner. This business grew month-on-month between December '18 and December '19 by 30-plus percent, and we do have, we do believe that we can continue to grow it significantly, given what we see so far and given the access to the News UK assets that they have. So I think that the experience with Playtech, when it comes to B2C, is that definitely, we can extend the reach. Obviously, we did it with the acquisition of Snaitech, you know whether people say just a coincidence or not, I come from an area of the world where they were, we say there are no coincidences, right? But under the ownership of Playtech, Snaitech suddenly formed number 1, becomes number 1, stakes grow by 67% from 2017 to 2019. Only this year, 31% growth in stakes, so I think that we do a good job when we partner with a well recognized brand. Now don't get me wrong, I'm not taking away the credit I need to give to Fabio and team, I think that they are doing an amazing job. They are the best management team across this industry when it comes to B2C. That's my belief. I'm not happy to see by myself. And I believe that they are the best, they are best-in-class. I will say that, obviously, given the expertise, the proven model of Playtech, we realized that if we extend the reach beyond software, we can have a very long-term relationship and extend our reach to more parts of the value chain. We do that through operational expertise and marketing expertise that we acquisite in operators. We have done that with Caliente, just to put it into perspective, we broke a new record in October last year. And then, again, a new record in January. And this business, just to put it into perspective, is 6 times, 16 times the size it used to be when we started in terms of revenues, and we still intend to grow it more than 20% year-on-year. Most likely, it will be even more than that. We then extend it, given our, now, it's not just the expertise that we have, it's about how we use them now and how we empower other businesses and how we can leverage our expertise and knowledge to do with the Latin American market, which, by the way, is estimated to grow in the next 5 years, more than any other part of the world. In excess of 25% CAGR according to H2 Gaming Capital, more than the UK, more than the entire market, more than the U.S., according to them. And therefore, we extended beyond Mexico to Colombia with the largest and best. Our model is unique. We partner with well recognized, well-established and well trusted brands, which is a quantum leap, if you think about a start-up business in a newly regulated market. When you take a local brand with access to market, with retail access and you equip it with best-in-class expertise and experience and knowledge and tools and technology, it obviously accelerates its growth. So in terms of, I'm not sure if we did, if you ever disclosed the number.
Andrew Smith: No. What I was going to say, and it's, I mean, this is sort of a very broad brush answer. But I don't think it's unreasonable to think that the amount that we invest in any stretch agreements upfront, will be returned, more than that on an annual basis within a few years, i.e., the return is quite incredible. Let's put it into context, I think Caliente, there is a decent chance it's going to be the largest license deal, certainly in the top 2 within a year or 2.
Moran Weizer: Yes. Actually, by the end of this year. That's the realty, or it is always more conservative only. But I told you that on Caliente I was right, quite right, so...
Andrew Smith: Yes. So we're just, there's 3 hands. So we'll just take those 3 and then, do you want to go first, Ivor. Sorry, Simon. Well, I steal your moment.
Ivor Jones: Ivor from Peel Hunt. It was great to hear that €70 million of revenue comes from UK casino, but it may be realized there's €442 million of Core B2B revenue. I don't really know where it comes from? I'm not sure what to ask you. I think I am asking you how much of that revenue comes from an embedded relationship where you're providing a platform to a customer? And how much comes from providing services like games, which could be cut off or replacement alternative providers? Kind of related to Ed's question, how much of this revenue is secure? And how much of it can fall away as contracts end?
Moran Weizer: I am not sure whether if I understood it correctly. Maybe I'll try and answer that, and tell me if I am in the right direction. All of our, we do not distinguish between the two.
Ivor Jones: You don't, you report €442 million Core B2B revenues and you don't describe where it comes from. Either it's...
Moran Weizer: Yes. It's basically, it comes from 150-plus customers of ours that operate on a revenue share business model. They do not distinguish between the different products or games. In the past, we used to have certain percentage fee associated with poker and then bingo and then branded games. Today, as a matter of fact, given the growth and given the fact that we don't want to incentivize operators to divert traffic to certain parts of their business artificially, we decided that we should have single or certain percentage fee that we charge them, and we do not distinguish between the IMS platform, the games or any game on, in any product. So we may charge 12% someone and they will get the IMS, they will have access to bingo, casino, poker, Live Casino. In Live Casino, obviously, situation is somewhat different because we charge them a little bit for the fixed cost that we have in the facility. But all of those, but it's a very, very small part of our business. I would say, of that number, the vast majority, vast, vast majority of that is recurring revenues. Currently, at this point in time, almost all of that is based on the combination of IMS and at least 1 or 2 products. Does this answer your question? And it secured, most of those contracts are long-term contracts. Going back to the structure of the agreements, by the way, just to reiterate the fact, when we partner with a structured agreement partner, the, what we charge them is usually software, their software percentage fee. But on top of that, we share with them the profitability of the business. So this is why when I say we extend the reach to more of the value chain, this is what I mean. And usually, these contracts are for a very, very long time. And in some cases, indefinite, we entered into an agreement for life, given the success of Playtech. So in terms of the risk to our business, most of our contracts are for the next 3 to 4, there are 1 or 2 contracts that we are now finalizing that will be extended. But other than that, our contracts are secured for 3, 4 and 5 years, at times, 10 and 15 and even 20 years in the case of one of the government monopolies across Europe. I would say, it's quite a solid, secured relationship that we have with our customers. And remember, we are -- last year, in 2019, we celebrated our 20th anniversary. We haven't closed a single licensee, right? So I think that we have proven the market that we can extend, that Playtech is valuable. And going forward, I believe that it will remain the case.
Andrew Smith: Let me just give you some numbers around, actually it might help. So the total U.K. revenue is about another 100 million on top of that 70 million. Obviously, that includes things like the SSBTs as well. If you then take other big markets, which contribute big chunks. If you add Mexico, Spain, Italy, Germany, Greece together, that comes to well over 100 million. So you obviously -- you know that Mexico is Caliente, and you know how interesting that relationship is.
Ivor Jones: B2B in Italy, right?
Andrew Smith: Correct.
Ivor Jones: Yes. Not SNAI, nothing that SNAI can do.
Andrew Smith: Not SNAI. That's just about 20 million in Italy. In Greece, you have, or perhaps you know the -- how interesting that relationship is. So straight away, if you added in, call it 170 million, 180 million from the U.K. and added an extra about 120 million on you, you're at 300 million already. So you can see that just by giving those examples of the big customers you already know in those markets, you are a fair way to get into your -- to the number you said, Ivor. I'd have to take off-line, by the way, and go through it in more detail.
Ivor Jones: You said Mexico, Spain, Italy, Greece.
Andrew Smith: Just taking the big ones, Mexico, Spain, Italy, Germany, Greece. After that, there's a reasonably long tail actually.
Ivor Jones: I know it's long. Just last one. Cash out of TradeTech, you show 125 million of working cap and regulated capital. Do you get a significant proportion out of that before a sale? Is that what you're indicating?
Andrew Smith: It's -- that's not an easy answer. What I would say, let me give it in 2 parts. One, even on a stand-alone basis, we're working to release some of that capital, even in regards of any sale. As part of the sale, it would be negotiated.
Ivor Jones: Sorry, but ahead of the sale, is that amount that we care about?
Andrew Smith: Yes. I care about it, but I think you will care.
Ivor Jones: You care, I care.
Andrew Smith: Simon?
Simon Davies: Two for me. Returning to the subject of state limits in the U.K., can you give some color around the amount of your business that involve states above the GBP 2 level? And secondly, and rather more easily on the U.S., can you give us a feel for a level of investment this year, OpEx and Capex?
Andrew Smith: Yes. So let's do the -- in the U.S., it will be probably around 5 million to 10 million. And the current thinking in the split, there'll be a bit of CapEx in there because of the Live facility. Then I don't want to give you the exact split. It will be probably a bit more OpEx, but there will be some CapEx in there. On stakes, Mor, take that?
Moran Weizer: Yes. I will say that the majority of our business is at manageable levels. We have done a thorough analysis of the state limits. Remember that on B2C driven by bingo. And therefore, it's already low stakes. On the -- on floats, I believe that, I know that it is -- the majority of this business is driven by low stakes, and therefore, we believe that we will be able to make certain changes to the business model, if necessary in order to mitigate that. I think that it is quite hard to say how it will all evolve? What it will include? Some suggest that, obviously, there are some downsides, big downsides to basically following the review to implement the £2 stake, given the fact that it will drive people to the illegal market. Some suggest that actually, there is no -- we need to do that given the fact that technology today. We have a company we acquired for £1 million per head, more than £1 million per person in this company called Betbuddy. It was not a lot of people, by the way, so don't get too worried about that. But we spent a few good billions on Betbuddy, and we can now, and we work together with a lot of operators in the UK, we entered into an agreement with one of the Canadian lotteries using the machine learning and AI capabilities, we can analyze the pattern. Remember, it's not anonymous. There is a major difference between the 2. You have to identify yourself. You have to onboard, you have to supply your information. You have to go through KYC. You have to go through affordability before, right, you basically can place bets with the operators. And therefore, there is a massive difference between online and retail. And I think that this is something that most operators, and we will support them with relevant evidence to support that will argue. So I don't want to get into what if scenarios because if it's 20 or 50, it's a very different, which was the proposal, if you remember, at the time for properties, I think that you can, we can say that there are good arguments why it should not be at the same level of properties, and even so, it's manageable by Playtech.
Andrew Smith: And could I, I'll just add a bit on our source of analysis and the way we've approached it. So if you take slots, we've analyzed and we've done this for live and table as well, but I'll start with slots. We've taken, we've broken it down to £2, £3, £4, £5 all the way to £10, £20, £30 and above. And what you can't do is just say, okay, well, if it's £2, and you lose everything above £2 because actually, sort of that's £3, that's probably will still remain £4, £5, you can do some analysis on it. We have, it's not just a paper analysis. We get our up skies involved as well in terms of the play psychology and how they can, that will evolve. I think given the slot space very nature is lower staking and even the number of £2, unless it's a big number, but if you add in the 3s and 4s, it becomes a big significant chunk of the amount of stakes on slots. I think if you take table in Live, the stake is higher, and actually, it's a harder analysis. And that's why we, I think it starts to put you and take you with slots, the number would be a perfectly manageable number. If it's wider than that, we would have to look at restructuring the business.
Moran Weizer: But we will not hesitate to do that, obviously.
Richard Stuber: It's Richard Stuber from Numis. I had just, 2 short questions, please. The first, on the SaaS model launch, you've got 50 clients so far. Could you disclose how much revenues that you receive for them last year? And if you're going to do another 50 this year, could you, do we assume it's going to double, or are the typical clients of similar size and profitability?
Moran Weizer: I'll answer that because the number currently is very marginal. Remember, and I think that this is something you need to, I need to educate the market about. The SaaS model is a scalable model that can cater for reflection of the cost and time to hundreds of brands at the same time. Our medium goal, our medium-term goal, remember, my plan was 1 a month in the first 6 months or 6, 2 a month in the following 6 months or 12, 18 for the year. We already signed up with 50. We now said, okay, 18 should not be 25 or 30, it should be 50 again in 2020. I will say the following. The medium-term goal of Playtech is more than 200 brands. And I'm taking a buffer here, okay? My expectations internally are even higher. I would say that if I need to commit, I would say 200 brands, medium term. Now you ask yourself, how do you model that, given the fact that, Mor, just said that basically, it was very marginal in 2019. You have to remember that we work together with these brands alongside many other content providers. Now we have an entire methodology, how we push the agenda of Playtech? It's a dedicated tab. It's a casino tab, it's the marketing efforts behind that. At times, we support the customer. We provide them with certain APIs or certain elements of the IMS to allow them to bonus their customers and then estimate. It is all based on the same infrastructure and powered by the IMS, but the difference is that the operators can choose what services they want to use. In other words, it takes a little bit of time for the numbers to pick up. You can't basically quantify and say what the opportunity is the month after. But what we see is that we see accelerated growth over the course of the following quarters, once you launch, within 18 months, they get to the level we expect them to get. And I would say that if you want to try and model that, I would say, medium term, this, each and every brand should generate at least €75,000 to €100,000 per annum for Playtech, and we expect more than €200 million of those. So you can calculate what we expect...
Richard Stuber: €200 million.
Moran Weizer: €200 million. What did I say? What did I say?
Richard Stuber: €200 million.
Moran Weizer: €200 million, €200 million. So Sorry.
Andrew Smith: Right. Very last question, Rich. Then we are moving to a close.
Richard Stuber: Yes. You mentioned about £5 million investment in some responsibles of gambling initiatives this year. Is it this year? Or, and is that going to be on a recurring basis?
Moran Weizer: Now this will be, this is a 5-year plan, as part of which we invest £5 million into 5 key areas, and we invested heavily preparing that. We believe that it's the right thing for us to do. I think it is our duty to do that. I think that people sometimes forget that this is at the heart of each and every operation, definitely for software a provider like Playtech. We never hesitated investing into compliance. We have one of the largest compliance team across the industry, we believe in, and we did that, right? The industry in the UK and elsewhere is coming under, I would say, even attack by regulators that want to see more responsible gaming tools. They want to see actions by the operators, and we, as the leading, the leading software providers, believe we should support that. We should lead that. And this morning announcement, the investment we make into 5 key areas is the first step of that.
Unidentified Company Representative: Ladies and gentlemen, thank you very much for coming along. I'm sure Mor and Andy would be around if you want to have a quick catch up with them. Thank you all very much.